Operator: Good day and welcome to the Full House Resorts’ Third Quarter 2015 Earnings Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Lewis Fanger, Chief Financial Officer of Full House Resorts. Please go ahead.
Lewis Fanger: Thank you. Welcome everyone to our earnings call. We may make forward-looking statements on this call relating to our estimated future results and other market, business, and property trends and information. We undertake no obligation to update or revise any forward-looking statements that are made today. Actual results may differ materially from those projected in any forward-looking statement as a result of certain risks and uncertainties, including, but not limited to those noted in our earnings release, our periodic reports and our other filings with the SEC. During our call today we may make reference to non-GAAP financial measures. For a reconciliation of historic non-GAAP to GAAP financial measures, please refer to our earnings release and our Form 8-K furnished to the SEC today. Both of those are available under the Investors section of our website at fullhouseresorts.com and I’ll point out two other websites for you we have www.americanplace.us for our American place proposal in Indianapolis and www.thechristmascasino.com for our rebranded Rising Star Casino. With that, I’ll turn it over to Dan.
Daniel R. Lee: Yes. I think, the press release largely speaks for itself, but it was a good quarter, pretty much across the board, Silver Slipper was up 23% revenues and 39% income, it was up in prior quarters pretty nicely as well really revamping the marketing that we revamped early in the year and so it was on an upper trend already. Now we got a little bit lucky when New Orleans ban smoking within the city of New Orleans, which affected a couple of our competitors, but about the same time, one of the biggest competitors at a big hotel tower which was the Island View. And then in May through September we got a hotel finally opened with a 129 rooms including nine luxury suites and obviously with the hotel he property is doing real well. Now this property used to make 10 million a year sometimes 11 million a year for quite a few years before we purchased it; it had slipped to 7.5 million last year, I think we got it back on track to where it was, and then we got the hotel opened, which takes it above where it was and that will play out the next few quarters. So that's the Silver Slipper, John Fugazy and his team had done a great job down there. I think at last count where we had served over 200 tons of Dungeness crab this year, and so it's a doing well on many different levels and that's our biggest property. At Rising Star in Rising Sun, Indiana their property had trended down for many, many years as new competition opened. I think we have bottomed and have started to come back. It helped that the last of the new competition opened in September of last year and that was the last of the casino’s that can open in Ohio. There is a racetrack in Northern Kentucky that under existing Kentucky Law, thanks to Supreme Court decision has allowed to put in historical racing machines, but I think most observers including me thought that the legislature would probably widen that too allowing them to actually put in casinos. But there was a surprise election result, the candidate who was supposed to win, who is pretty pro racetracks, pro casinos lost and so the governor is a pretty conservative guys who tends to be in casino. So I’m not sure what will happen in Kentucky now, its possible that there won’t be a casino in Northern Kentucky and that would obviously be good for us, but most of the competition that could happen has happened 4.5 years out the racetracks will get slot machines. I'm sorry will get table games and slot machines now, but we have time to get ourselves established. If you look through those numbers, we got a very favorable resolution of the property tax rates at rising star, which saves us about 500,000 a year going forward - 570 and we’ve got a one-time settlement for past property taxes of 1.4 million; and because we had accrued for those taxes, when we got it back and ends up going through income even. So I think its kind of [indiscernible] but that’s GAAP. So that was kind of unusual gain that is recorded as not being unusual, but in the prior year, there was a similar thing with about $600,000 of gaming tax accruals that had been over accrued for and would reverse back. So if you adjust for both of those taking 1.4 million out of this year’s number and taking 600,000 on last year’s number, you will see that EBITDA was flat even up a little bit, which is a first time in many years that this property has been up over the same quarter of the previous year. And then just after the end of the quarter, actually last week, we are trying a very unique promotion there, we spent of a $250,000 maybe $275,000 on Christmas decorations another $100,000 on special uniforms. and we temporarily rebranded as the Christmas Casino with seven live reindeer, seven because I screwed up I thought there were eight, turns out there is nine and I knew we couldn’t get the guy with red nose. So we end up with seven. So it's a lucky number perhaps, so we’re calling at the lucky herd, but we have seven live reindeer, they are really cool and about a dozen little [indiscernible] in the casino with moving figures, a lot like you would have in the windows of Macy’s in New York. And we’re advertising it, at least initially it looks like its going to work pretty well. We’ve kind of run the numbers if we expense the cross with decoration and the uniforms all in one quarter, which is probably what we’ll do, because it's a kind of what we have done historically with the uniforms and decoration, even though this is more than your normal amount of decoration, uniforms, but assuming its all expensed this quarter. We need about 10% lift in revenues to offset it. In practical terms, the decorations and uniforms probably last about three years. So only need about 3% increase in the revenues to economically justify what we are doing. And then pretty comfortable we’ll get at least three and probably more than 10. And it’s very early, we’ve only had five days, but the five days are looking little pretty good. So we’ll see where that goes. And then we have other things to do at Rising Star, we own one piece land in Kentucky, we’re in negotiations on a better piece of land and which I think we’re pretty close to being done with. And then we will seek to implement Ferry Boat, we’re also looking at redoing doing a couple of restaurants there and finding ways to make this place more competitive. It’s kind of geographically challenged. So we have to do more creative stuff like reindeer But I think now this property at one-time was making 50 million of EBITDA a year, now it’s down to like the two. I don’t think it’s every going to be 50 again, but could be five and I think pretty good chance it will be up going forward and so we’re cautiously optimistic there. Northern Nevada at the [indiscernible], we actually had a pretty good summer in terms of the volume numbers. The table game drop was up 11%, the slot handle is up 5.5%. We just played a little bit unlucky and so as a result it ended up being down a little bit about $600,000 so we call that not of revenue yet, tough revenue and most of that would go to the bottom-line. So the volume numbers are good and that’s important and the luck will come and go. And then in Fallon we actually have been up now several months in a row both in revenue and income, we've just tweaked it a little bit and improved it try to give a little care and love. In fact, today we’re changing carpet up there, so it’s a little bit torn up. I guess we have 200 slot machines outside as they were changing the carpet at snow. And so we have 200 slot machines with two inches of snow on it today, but they will be fine and we will be done with the carpet in the next few days about $100,000 worth of carpet, they will change the look of the place quite a bit. So really, all four our existing places are doing well and then we have an agreement to buy Bronco Billy's and it’s doing well. Back when we negotiated that deal, they were just opening an expansion at that place in Cripple Creek. And so it was a little tricky to negotiate the deal and so we said well, we’ll pay $30 million provided at the time of the closing the EBITDA for the trailing 12 months at least $4.7 million and it was less than $4.5 million, we can actually pull a lot of the deal and get our deposit back. I think through September there is somewhere around 5.2 almost up to 5.3. and they are trending quite a bit above the prior year. So it’s very unlikely that this thing is going to be less than 4.7 or less than 4.5 at the time of the deal closing. So I think effectively, we probably have an agreement to buy it for about 5.5 times cash flow. Its a great facility, great market and we are really happy to do it and moving as quickly as we can to get licensed in Colorado and we’ve submitted everything back in August. Now scheduled the interviews with our directors and officers with the Colorado gaming agents and so on. And now I think and then simultaneously we’re refinancing or debt, the Confidential Information Memorandum went out this morning, if anyone is interested in being included on the list, do contact your sales person at Barclays or George Lee at Barclays in Los Angeles she can find them.
Lewis Fanger: George is New York and Mike is in LA.
Daniel R. Lee: Mike Harper is in LA, but our goal is to refinance our $70 million of debt plus raised $30 million to close on the Cripple Creek acquisition and hope to get it done later this year or early next year, but should be attract hopefully later this year. And we did spend about $730,000 on project development and the bulk of that is actually the legal costs and due-diligence on Bronco Billy's. again its a little bit strange accounting, I would have thought it would be part of the acquisition across Bronco Billy's, but that’s not the way it’s done these days. And the rest was on our proposal for American place. American place the airport authority has told us they expect to make a decision on their request for proposals by year-end. And if we chosen and we’ll keep working on it. We’ll eventually need legislative approval which would come in the first half of 2017, but we would have an awful lot of work to do between now and then and we’re cautiously optimistic on the process for the airport. I think the fact that we’re offering 4,000 jobs and $85 million a year state and local taxes. We don’t know precisely what other proposals they have, but we’ve been asked numerous times what government financing do we need or government backing of the debt, and the answer is we don’t need anything, we’re is simply asking to relocate half of our committed gaining capacity from Rising Sun and so that's a pretty powerful argument. It’s hard to imagine having something else on that land that would generate $85 million of state local taxes without having some sort of government incentives and the question really is whether they are willing to kind of join us for years to see if we can get - legislature and so that's where American place is. And I mentioned the refinancing, I guess that's kind of it, I'm happy to take any questions.
Operator: [Operator Instructions] And we will take our first question from Chad Beynon with Macquarie.
Chad Beynon: Hi great thanks for taking my question guys. Just wanted to ask one on the Bronco Billy's acquisition, it looks like you are able to acquire this property at a nice price and I know there are some walk away language that you released if EBITDA slips. Could you just talk generally about the market, we’ve seen very strong growth in Cripple Creek, I guess since March from a revenue perspective. But could you kind of just frame out some of the dynamics in the market what the management team is seeing and maybe just some more color in terms of why this was such a - kind of perfect set fit to round out your assets? Thanks.
Daniel R. Lee: Yes actually, we refer to as a perfect fit in our collective portfolio, but the Colorado legalized gaming about 20 years and its only legalized in three small towns that were on the edge of becoming ghost towns, little gold mining towns up in the mountains. Two of those are west of Denver and that's a Black Hawk and Central City and this is west of Colorado Springs. Now Colorado Springs is state’s second largest city its about 700,000 people. And it’s been growing just like Denver, it grows about 3.5% a year, so it's a nicely growing city and there is really no other casinos that would be considered competitive. Colorado Springs is pretty much the dead center of the state and so there is casinos in Oklahoma but they are long way away, there is Indiana Casino in New Mexico, they are long ways away. There have been efforts in Colorado to legalize other casinos like the racetrack and Denver pushed pretty hard back in 2014 and all those efforts have been turned down by voters by pretty white margin. So it's a pretty nice market without threat of competing state or competing Indiana tribe and relying on a city that showing nice growth, so you would ordinarily think with a city growing 3.5% a year and then at inflation this market should go 4% or 5% a year. And now when it first legalized, there were a lot of little casinos went in there, it’s an historical town, so everything is like 50 feet wide, and little store fronts. And what’s happen over the years is the better operators have come to kind of dominate it and Bronco Billy’s is one of those, it started out as 50 feet wide and I think its now 300 feet wide; or after 20 years of good management and Mark and his team had seen a fellow who has run it for 25 years and he is very good at it and he has agreed to stand for at least three years. And then I can try to talk him into another couple of years after that, but the story of it in past year has been the strong is stronger and the weaker squeezed out. And helping that in last three years was some natural calamities, you had just in 2007, you had so many build the casino on the edge of town trying to cut traffic loss, it didn’t work. If you’ve already driven an hour, you manage to drive another 30 seconds to get to the main street and so it went bankrupt, it’s so open, but it went through bankruptcy, that create a some disruption. And then you had a year where there were forest fires, the Waldo Canyon fire burnt 350 homes and it was along the principal grow that you take driving up in the mountains. So it's a four lane road, but it winds it way up to the this canyon and the fire swept down through the canyon and ended up with the road being closed for kind of extended periods in the peak summer, but it was even worse the following year, because without the vegetation on hill sides, when it rained they had flash floods down to the canyon. Actually swept cars off the road, there was one guys who was killed in his pickup truck. So the next because of the flash floods, there were lots of disruptions to the road. And then in 2014 the state came in, it’s been a lot of money fixing the road, fixing the flood control systems and everything else, so the road is in great shape now, but the last three years you had a lot of disruption and the road going up to Cripple Creek and that led to again the strong getting stronger and the weak getting weaker. So if you were to look at the numbers last five years, Cripple Creek was kind of trending down a little bit, but Bronco Billy’s was flat and it gained market share and it has about 22% or 23% market share now. And there is another strong company, private company that’s across the street called Midnight Rose, it does the same thing it gradually bought up all its competition. And then there is a third company that is the smaller casino there which is public company called Century Casinos. And between those three, that’s really most market. And I think going forward the road is in good shape, the economy in Colorado Springs is in good shape. You have fewer competitors in the market than you used to have and it should be pretty good selling going forward. And in May when we see the open in expansion. Well the expansion had ones been a competing casino and was leased to an operator, the operator got into fight with the landlord and one thing led to another; Bronco Billy’s was able to take over the adjoining space and expanded their casino into it, picked up some hotel rooms and some surface parking and everything else under a long-term lease with an option to buy it. So it was not only in expansion but also limited competitor. So I guess that’s the story and that’s a good property well run. And I think we bring some stuff to it like - I think part of the reason they sold is, it was owned by a partnership Reno, some of those partners are elderly one of that actually passed away. And I think they have moved to along and done well. But we’re able to look at and say “wait a minute maybe we should build a little hotel here” kind of small version of what Ameristar did in Black Hawk and there is a place to do that. So we’re in a position to look at some things that the prior ownership might not have been, so we got to look at. So not that’s imminent but it’s something that’s on our mind that could be done and I think we had a little hotel there, this thing might make $9 million or $10 million instead of $5 million.
Chad Beynon: Okay, that’s great. Thank you for that color. And then just with that mind, so given that you are cleaning up to capital structure in the next couple of quarters. What is the appropriate amount of leverage Lewis that you guys are thinking about in the medium-term?
Lewis Fanger: Well, the thing to keep in mind is this company isn’t a $10.5 million EBITDA, company like we posted in 2014, it’s much bigger than that. And so you throw on top of that growth, you throw on top of that Bronco Billy’s as well. And so what we’re aiming for is kind of pro forma five times and then seeing that decline as the years goes on.
Daniel R. Lee: We probably, when we refinance all of our debt and acquired Bronco Billy’s, we end up with about $100 million of debt and our EBITDA with a full year of the hotel in New Orleans and Bronco Billy’s is going to be somewhere in the $20 million area. So we think we’re about five times and Bronco Billy’s was pretty important to us also in providing diversity. So at this point if you got wacked by Hurricane in Mississippi, which happens sometimes, Bronco Billy’s and the other properties would be enough to surface our debt, so until Mississippi backup again. So it brings very important diversity, so it was important. So we’re not the biggest company around, but we’re also not the most leveraged company around and we’re more diverse than you might think.
Chad Beynon: Okay, great. Congrats on this and the operational improvements. And looking forward to seeing the Rising Star new branding. Thanks.
Daniel R. Lee: And I think your question also - but five times would be nice to a little less leveraged than that but fits of the ballpark four to five times, if you are much under four you are not using the leverage you should use and if you are much about five you are probably dance into close to the line.
Chad Beynon: Great. Thanks.
Operator: [Operator Instructions] And we will go to [indiscernible].
Unidentified Analyst: Hi gentlemen. Congratulations on the nice quarter. It seems you have touched upon weather conditions and Hurricanes and everything. Could you maybe share with us what type of insurance [indiscernible] that can be potentially vulnerable to the Claire and whether you view them as sufficient? That would be helpful. Thank you.
Daniel R. Lee: Well obviously we have both the property insurance and business interruption insurance. [indiscernible] do you recall the amount of property insurance we have on several, I don’t recall it off the top of my head.
Unidentified Analyst: I don’t recall off the top of my hear, sorry.
Daniel R. Lee: But I think we have enough to rebuild that if it got wacked by hurricane, I don’t recall the number off the top of my head, but the plan was that if you - and recognize when I ran identical we had Pinnacle we had casino get destroyed in Biloxi and we have another one that took full head on hit in Lake Charles. And the property insurance, we have plenty of, we have quite a bit of liability insurance, I don’t have a number off the top of my head. And I just know from experience the problem on these is the business interruption insurance and collecting on it. And you don’t want to be in a position where you are relaying on getting it today to make interesting, it’s because the insurance companies will perceive that as a negotiating opportunity and they will squeeze you until you give them a settlements that’s more favorable for their terms. And so having the diversity we have puts us in a position to be able to fight for the proper insurance that we paid for and like at Pinnacle when we had a complete loss of a casino in Biloxi, it actually ended up being good for us, because the insurance is based on replacement cost not the value. So for example, if the Ohio river flooded and destroyed Rising Star, it would actually be a very good thing for us, because the replacement cost of Rising Star is way more than what it’s really worth, replacement costs probably a couple of $100 million and the value of property today probably isn’t even 10% of that. So it’s not like it would be on your car where your car is totaled and they just give you the fair market value of the car, it is what would it cost to replace the building. And no, we are not actually hoping for the Ohio river to flood or we don't really want a hurricane. those are terrible things, but I will tell you with the purchase of Bronco Billy’s one of the things that I did wake at night worrying was what happen of something happen at the Silver Slipper, because we were so reliant on it. Bronco Billy gives us some diversity away from that and frankly the people running Bronco Billy’s they had to worry in the past about what if a forest fires went through Cripple Creek or something that avalanche shut down the road or something and having the diversity is good for them too. so I think we’re now getting to the point where we are relatively diverse and everything seems to be working well.
Lewis Fanger: Yes, we really scrubbed over those contracts back when they came up in the middle what it was - may be April of this year, and may have the share we really scrubbed them with our team network which is a Pinnacle after Katrina and Rita happened. So we do feel pretty good, there are two pieces, there is obviously the replacement cost and then there is the business interruption, insurance piece as well that kicks in after a few days. So we feel like we did improve those tremendously from what we used to have.
Daniel R. Lee: Yes, and I would contrast that at pinnacle we were actually okay and it was just a big negotiation that get paid from the insurance companies with the orders, but there was a small casino, the Hard Rock casino on block C that was hit by the same hurricane and it was a single property company and they were in a really tough spot, because they didn’t have any source of income and the insurance companies didn’t pay them and they were really had their back to the wall, they didn’t know what to do. And eventually the equity there got kind of cramped down, and I’m confident that we’re pass that here and we would be okay even if we took a head on hurricane in the Silver Slipper, but not hoping for it, I just know that once in a great while it happens. I think Katrina was a once in 500 year storm, so hopefully we have another 490 years to go.
Unidentified Analyst: Got it. Thank you. I appreciate the commentary.
Daniel R. Lee: If you want to check back, we’ll look up the number, I don't recall it off the off the top of my head and I don’t want to give a number that might be wrong on the call, but there is no secret about it, we’ll give you the number if you call us later when we had chance to look it up.
Unidentified Analyst: Well thanks you Dan.
Lewis Fanger: You know…
Daniel R. Lee: Do you think you have it?
Lewis Fanger: Yes, its correct me if I’m wrong [indiscernible] it looks like it’s in the ballpark of $100 million?
Daniel R. Lee: Yes.
Unidentified Analyst: I think that's right. For the Silver Slipper?
Daniel R. Lee: For Silver Slipper only yes that right.
Lewis Fanger: And we got a hotel was just built for 20 and I guess the casino next to it which [indiscernible] hedge of original purchase price was [indiscernible].
Daniel R. Lee: Sorry about that. We’ll go on to the next one.
Operator: I will take our next question from [indiscernible] Barclays Capital.
Unidentified Analyst: Hey guys thanks for all that color that you guys put up and everything sounds great. Dan I was wondering maybe you could talk about what your longer term vision for Full House is, like you said, next year once we get refinancing and about $100 million in debt with Bronco Billy and what you see for the company like three to five years like what would you like to happen?
Daniel R. Lee: Well, my first goal, I come to work every day try not to screw it up and you just try to make decisions that are going in the right way and you know we’re only talking about big things, these are is little things, if we change the logo of the Silver Slipper. I used to have this kind of western theme looking S and it didn’t make sense on Mississippi Gulf Coast which has this French characters and now there is a different S, literally just a different font, but it looks much more in keeping with the property. And most people pay wouldn’t even notice it necessarily over the short-term, but you start doing those little things, long-term they add up and taking care of the employees. One of the important things we did was we made a management change in [indiscernible] and when we realized that the employee turnover had run 80% a year for two years in a row, which is this crazy. I mean the turnover tends to be high in this industry, but higher like 25% or 30% not 80% and when that’s 80, there is something wrong. So it takes time to get the right employees in place, make them feel comfortable, getting them to focus on the customer, let the customer notice that you have friendlier employees and gradually the market responds to it and we are coming up on a year since we had made the changes here and those little things is starting to add up and I think it’s actually reassuring, but not very surprising that the properties are all doing well, because we’ve just implemented good management. In most cases we had good managers that’s already doing a great job, we just let them do their jobs, in some cases they were kind of constrained from doing what they knew they needed to do. So now where we go from here, I don’t know, I mean Bronco Billy’s came to us from a real estate broker and we looked at it and said you know what this fits and we must see 10 deals a month most of which don’t fit don’t makes sense; but once in a while you find one that does make sense and you do it and then you got to make sure it fits on the balance sheet and everything else. So I don’t know that there will be another Cripple Creek. Look the goal here is to make money, it’s to make money for shareholders, we all have stock options, it’s to make our stock options worth something and there is no more than that. It’s not about, we don’t have to be big, small companies can grow better than a big company and its trying to get the right shareholder returns and that’s it. Now you look at some of these things like American place if this works, this could be huge. It’s a $650 million project, about $400 million of that is in the mall side of it, so we could find a mall partner to take on that part of it. The casino itself is 250, I think you could probably borrow 150 of the 250. That means we got to come up with the $100 million in capital, pretty good chance we end up with the partner, if you look at the size of our company. And so let’s say we put up $50 million and partner puts out $50 million. And you build a casino that then maybe makes $50 million a year, picking that number out of the year, but it wouldn’t be unreasonable, if you have the only casino in the city of 2 million people to makes $50 million a year, even it’s relatively small is possible. If it’s then what eight times, it’s worth $400 million, subject to $150 million of debt and you’ve taken $100 million investment and made it worth of 250 and we would be half of that. So if we took $50 million investment and made it worth 125, we would have generated $75 million in shareholder value, which is probably twice our market cap today. Okay, So there is an awful lot that has to happen for that to work, but that’s the sort of thing that’s a game changer, if we can get it on and so we’re spending some time on that while we working around a little things. And then I mentioned earlier building a small hotel in Cripple Creek something similar in scale to what we just added in Mississippi, you could see [indiscernible] Mississippi. If you spend $20 million on a 100 room hotel or something like that. I think you would probably get a 20% return on that. You can probably borrow a lot of the money at seven. And so I think there is a good return opportunity there, down at the Silver Slipper we have really no meeting space at the moment. So we’re setting the possibility of putting some meetings space there, we have a beautiful beach front that we really don’t use very much and we are trying figure out ways to use that better. So there is things we could do really in each property, there is things we can do that probably get us returns in the 15% to 20% and so we keep plugging away of that. I don’t know, I mean the EBITDA of the company today is running with Cripple Creek about double what it was a year ago. So I don’t know, that we can double every year for five years. There is no master plan of we’re going to be the next General Motors, because I don’t know how to get there, but if we come to work everybody and try to make smart decisions, I know overtime you pull the company.
Unidentified Analyst: Great, I appreciate all the color. That was a great, it makes me feel more confident as a shareholder. Best of luck.
Daniel R. Lee: Okay. Thank you. And also if there is one more.
Operator: And we’ll now go to [indiscernible] Private Investor.
Daniel R. Lee: Great.
Unidentified Analyst: Good afternoon, gentlemen. Do you have any target interest rate you’re looking through the $100 million refinance that?
Daniel R. Lee: No. Our existing debt including the upfront fees that were paid [indiscernible] across the capital but I think 10.2. I think we’ll be comfortably under of that but remember we have a two debt tiers now one is at 14 and a quarter, and the other one is at LIBOR plus 450 I recall.
Lewis Fanger: The LIBOR plus three quarters three quarter, 1% floating rate.
Daniel R. Lee: Three and three quarters right floating rate and but all of that debt comes due in the next 18 months. And I think given that we’ve got something filed and Barclays is out there working out, and I probably shouldn’t give a number, but I hope it will be less than 14 a quarter for sure. And I think it’s probably going to be less - it would be less than the 10.2 and even including network fees and it’s probably quite a bit less than that.
Lewis Fanger: I’ll tell you this Steven, we feel I think tremendously better about this company and the status of this refinancing than we ever would have – having launched this six months ago or nine months ago. If you look at the past three quarters, all the improvements that we made throughout the properties, we think have been pretty big and we still think there is room to go. So if you flash flashback to when we joined at the very beginning of the year, for us to run out to investors, debt investors and say look at what we can do, a lot of that was really us pontificating on things, but with really no results to point you. The great news now is we've got nine months results that we can actually point to with this quarter being another great quarter. a lot of the things that we said we would do whether it be resolving the property tax of share of Rising Star, whether it be opening a hotel and saying that get up to speed, fixing things up in northern Nevada there is a long list of things, but the good news is we are going into this refinancing feeling pretty darn good.
Daniel R. Lee: Yes, if you look at other companies with five times leverage in industry, you can get a pretty good range that - some where we have layers on this line which is freak-out if I gave you number.
Unidentified Analyst: Understood, congratulations on a very good job.
Daniel R. Lee: Okay.
Lewis Fanger: Thank you.
Unidentified Analyst: Welcome.
Lewis Fanger: I think that is Dan, let’s let you conclude.
Daniel R. Lee: Well that’s it and I then we are just throwing our best to represent shareholders and do the right thing, and I think the next thing is get this refinancing done and get licensed in Colorado and close the acquisition and celebrate Christmas and just keep doing all the things we've been doing and obviously we are trying to -. I will mention one of the thing, our existing debt has very stiff amortization like $1.5 million a quarter, the new debt would be a $1million a year, which frees up some free cash flow to do things like adding a restaurant here, meeting rooms there and so on, buying some new slot machines here and there and all of which I think get pretty high ROI. And so the refinancing not only moves out the maturities to a five year term and puts all in one trench which is frankly easier to manage, but also frees up some free cash that can be reinvested into be existing properties in smart ways and we are trying to figure out the right way to do that. So I guess that’s is it, thank you everybody. And I guess we will…
Lewis Fanger: Talk to you in a quarter.
Daniel R. Lee: In quarter, in the New Year. Take care.
Operator: Ladies and gentlemen this does conclude today’s conference. We thank you for your participation.